Operator: Good evening, and welcome to the IDT Corporation's Third Quarter Fiscal Year 2024 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three month period ended April 30, 2024. During remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in a listen-only mode. [Operator Instructions] After Mr. Jonas's remarks, Marcelo Fischer, IDT's Chief Financial Officer will join Mr. Jonas for Q&A. Any forward-looking statements made during this conference, either in the prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not unlimited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share. A schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note, that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website. The earnings release has also been filed on Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you, John. First of all, I apologize the lease is a little longer than I prefer to read, but nonetheless, here it goes. Welcome to IDT's earnings conference call. My remarks today focus on the third quarter of our fiscal year 2024, the three months ended April 30. For a more detailed discussion of our financial and operational results for the quarter, please read our earnings release filed earlier today and our Form 10-Q that we expect to file with the SEC on Monday. IDT's three high growth, high margin businesses again delivered strong results in the third quarter, contributing to a 310 basis point improvement in our consolidated gross margin. NRS has surpassed 30,000 active terminal this quarter, making it the largest POS network for C-stores in the country. And net2phone, adjusted EBITDA doubled year-over-year in the current quarter as the business continues to scale and improve its operating leverage. And at BOSS Money, our balanced omnichannel approach to customer acquisition and focus on customer service and user experience drove another quarter of strong revenue increases, helping the Fintech segment to its first adjusted EBITDA positive quarter. Looking ahead, we are very excited by the potential of each of these three businesses for sustainable profitable growth. In our traditional communications segment, we are making progress, turning around our IDT digital payments business, and expect its bottom line results will continue to improve. Now I want to spend a few minutes on each of the three high growth businesses. NRS, the NRS segment added 1,600 net new point-of-sale terminals during the quarter. And we see a long sales runway ahead in our independent C-store retailer market and we have several initiatives that recently launched. Our product offering range has really increased and this has increased our total addressable market. In addition to growing our retailer network, we are continuing to improve per terminal economics by bundling more of the new terminals we sell with NRS Pay. And for existing customers, by successfully upselling higher revenue payment processing and SaaS plans. We generated a solid year-over-year increase in advertising and data revenue, up 16% year-over-year and are well positioned for continued advertising revenue growth. Advertising and data revenue is inherently volatile and driven by industry wide trends and seasonality. As we continue to grow in this space, we are strengthening our positioning by making progress on three important fronts, building our base of direct advertising customers, including CPGs, positioning our digital screen inventory offerings within the retail media network market, which is a popular advertising space, and expanding content partnerships to attract new programmatic buyers. Merchant Services revenue increased 66% year-over-year, driven by increases in NRS Pay accounts. As we optimize the incentives for POS users to take our payment processing solution. We are also benefiting from a steady and measurable rise in credit card usage as a percentage of total transactions in our retail locations. All-in-all, boosted by the solid increases from each of our revenue verticals, NRS' income from operations and adjusted EBITDA more than doubled year-over-year, and we are going to build on that momentum as we move through the remainder of calendar 2024 and definitely beyond. The net2phone segment continued to increase its contribution to IDT's total bottom line, generating over $2 million in adjusted EBITDA this quarter, more than double the year ago quarter's level. We are seeing the benefits to net2phone's operating leverage as the business continues to scale. At the same time, we continue to rigorously focus on cost control and improving unit economics. For example, we have enhanced net2phone's customer and channel partners portal to enable deeper self-management and account administration, increasing user convenience while decreasing demands in the rest of the organization. As a result of our initiatives, net2phone's combined SG&A expense and technology and development costs have declined as a percentage of net2phone's revenue in each quarter this fiscal year. All-in-all, we continue to improve net2phone's bottom line while investing and acquiring customers at a very attractive ROI. Net2phone seats served increased 13% year-over-year, driving a 17% increase in subscription revenue with especially strong contributions from the U.S., Mexico, and Brazil, while average revenue per seat increased 4%. Over the next several quarters, net2phone will transition from its current single all in UCaaS pricing plan to a basic plan with premium feature driven offerings, including AI powered functionalities, which we believe will drive continued ARPU expansion. We will also be rolling out significant new enhancements to the user experience in the coming months, including a powerful single pane of glass interface for all net2phone services and on all types of devices. With new plans and deeper customer engagement and the large market opportunities in the U.S. and especially Latin America, I'm excited by net2phone's growth potential, and we expect all these initiatives to increase growth in ARPU and C-counts along with our CCaaS offerings, which we didn't even discuss today. Within our Fintech segment, our BOSS Money business had a strong quarter, further expanding its transaction and revenue growth rates, both of which were already well above industry averages. We continue to take market share in our primary corridors from the U.S. to Latin America and the Caribbean, and in key U.S. to Africa corridors as well. Our BOSS Money growth strategy is three pronged. First, we're expanding our agent network by adding new retail locations. Transactions originated in our retail agent channel are up 49% year-over-year. Second, we consistently focus on cross selling BOSS Money services to our much broader BOSS ecosystem and our customer base. And third, we continue to improve and refine our ability to profitably acquire new customers by paying close attention to customer acquisition costs vis-a-vis the lifetime value. All-in-all, we doubled our transaction volume over the past eight quarters and are pushing hard to double it again, hopefully much more quickly. We feel very encouraged that BOSS Money recently became cash flow positive and as it continues to scale, we aim to generate adjusted EBITDA margins in line with the industry's leaders. Due to the improving economics of our money transfer business, our Fintech segment overall was able to achieve positive adjusted EBITDA for the first time this quarter. In our traditional communications segment, we continue to focus on maximizing cash flow by reducing costs and streamlining operations in our ILD voice and wholesale communications businesses, as the market for paid minute communications continues to decline. At the same time, we have stabilized our IDT digital payments business in recent quarters and are working to return it to the growth through Zendit and many other applications that we have developed. We are also rolling out pricing changes for our international mobile top-up products to various corridors, and we'll be carefully monitoring the effects of those changes. However, so far they have created a lot more profitability. Looking at IDT on a consolidated basis, our three high growth, high margin businesses are steadily becoming more significant contributors to our consolidated results relative to our larger, lower margin traditional telecommunications segment. This transition has driven consistent increases in IDT's consolidated gross profit over the past four quarters and will gradually enable us to deliver stronger total bottom line results. At the same time, we will continue to return value directly to shareholders through additional repurchases of stock and a quarterly dividend. Now, Marcelo and I will be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question is coming from Alex Rohr (ph). Please announce your affiliation, then pose your question.
Unidentified Participant: Hi, Shmuel and Marcelo. So quickly, the -- in traditional, I think you had expressed some optimism that SG&A, you would find some efficiencies there. I was, a little bit surprised to see the SG&A up year-over-year and quarter-over-quarter. So can you share a little bit what drove that? And then I have a follow-up.
Marcelo Fischer: Yeah. Hi, Alex. Thanks for joining the call. Yeah. Now, we have put in place a large cost cutting initiative. We should be seeing a lot of that coming through in future quarters. In Q3, some of that was obfuscated by the fact that we had higher spending to one time compensatory arrangements now based on executive contracts that we have entered into and filed on those -- on that contract a few weeks ago. So that was a one-time, more a non-cash compensation type of charge that led for the SG&A to be higher. But when you remove some of those charges, you would start seeing some of the cost cutting already now being designed to show in Q3, but you're going to see most of it, a lot of it in Q4 and beyond.
Unidentified Participant: Understood. Thank you. And Shmuel, in NRS, obviously, it's amazing to see 30,000 kiosks. That's -- it's more than circle today, (ph) I think they're the biggest C-store chain in the country. And I know they are paying a lot less for most of the items, most of the cost of goods sold that's flowing through the stores, and your folks. The smaller stores are paying more, right? So at NRS, how do you think about bringing some of the benefits of the massive scale of NRS to your individual customers as they run their stores, procure product, etc.
Shmuel Jonas: We've more than once tried to do stuff in terms of buying groups and deliveries to restore their inventory. To date, we haven't had massive success bringing, I will say, those savings to provision for our retailers and benefits to us from that. I do expect that to be something that we try again in the coming year, but at the moment, we're more focused on bringing in more customers to the store and getting the customers to spend more rather than to bring down their cost of goods sold.
Unidentified Participant: Understood. Thank you guys.
Operator: [Operator Instructions] As there are no more questions. This concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect.